Operator: Good morning. My name is Sarah, and I will be the conference operator today. At this time, I’d like to welcome everyone to the EchoStar Corporation Q4 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I’d now like to turn the call over to our host, Mr. Deepak Dutt, Vice President of Investor Relations. You may begin your conference.
Deepak Dutt: Thank you, operator, and good day, everybody. Welcome to EchoStar’s fourth quarter 2011 earnings call. I’m joined today by Mike Dugan, our CEO; Ken Carroll, CFO; Pradman Kaul, President of Hughes; Andrew Johnson, President of EchoStar Satellite Services; Roger Lynch, Executive Vice President of EchoStar Advanced Technologies; Grant Barber, CFO, Hughes; Dean Manson, General Counsel; and Paul Orban, Controller. As you know, we invite media to participate in listen-only mode on the call and ask that you not identify participants or their phones in your reports. We also do not allow audio taping, which we ask that you respect. Let me now turn this over to Dean Manson for the Safe Harbor disclosure. Dean?
Dean Manson: Thank you, Deepak, and hello, everyone. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors and risks, please refer to our Annual Report on Form 10-K to be filed in connection with our earnings. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements we make, wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. With that said, let me turn it back to Deepak.
Deepak Dutt: Thank you, Dean. We will start the call now with comments by Mike Dugan. Mike?
Michael Dugan: Thank you, Deepak, and welcome, everybody, to today’s call. This morning, we released certain preliminary unaudited results for the fourth quarter and year ended December 31, 2011. We plan on filing our 10-K early next week. I’d like to take a moment and recap the highlights of those results for you. EchoStar Corporation today reported total revenue of $834 million for the first quarter ended December 31st, a 62.6% increase compared with $513 million for the fourth quarter ended December 31, 2010. The loss before income taxes totaled $22 million for the quarter ending December 31, 2011 compared with income before income tax of $186 million during the corresponding period in 2010. For the year ended December 31, 2011, EchoStar reported total revenue of $2.76 billion compared with $2.35 billion for the year ended December 31, 2010, an increase of 17.5%. Income before income taxes for the year ended December 31, 2011 totaled $26 million compared with $289 million for the year ended December 31, 2010. Again, we are in the process of completing the full financial statements and the audit and expect to file a 10-K early next week. So let’s move on to specific highlights, before we open up to questions and answers. First of all, JUPITER, now known as EchoStar 17, our Ka-band satellite under construction (inaudible) now has successfully completed the alignment and dynamic phase, while spacecraft is built up with all of its light hardware and tested to confirm that it can withstand the launch load (inaudible). The program now is in the final testing phase. JUPITER’S Gateway system and user terminals have successfully completed their factory and field qualifications and are now being tested over the EchoStar-leased AMC 15 Ka-band satellite. Processing – crossing these major milestones pave the way for the planned launch in the summer of 2012 of EchoStar 17, which will deliver high speed HughesNet Gen4 broadband satellite Internet service across North America and provide the capacity to satellite growth in our consumer business. The EchoStar 16 spacecraft which is a DBS satellite fully leased to DISH Network is under construction, also at Space Systems/Loral and has successfully completed thermal vacuum testing. The program is now entering the alignment dynamic phase and it is on track for completion in the summer of 2012 and will launch sometime in the second half of 2012 on board the Proton. You may recall that at the Q3 earnings call we announced the word of certain orbital slots to our Bulgarian subsidiary. We have since been in discussion with Anatel, the Brazilian telecom regulatory agency and are optimistic that the license for the 45 degree west slot will be signed shortly. As a result we are looking forward to expanding our business in one of the fastest-growing regions of the world. Used/new order input continued a strong pace in Q4, significant orders in our North American enterprise business included (inaudible) 44, GTECH, Best Western, Halliburton, Yum, Jack-in-the-Box McDonald’s, Sherman Williams, Konica, Phillips and various orders from the (inaudible) intelligence agencies. Key international orders were from JFC, ESCADA, R2.com, Nigeria, Saudi Ministry of Foreign Affairs, Vodacom, South Africa, NovaSat Saudi Arabia, Avante, Camelot and Telemark (inaudible). This strong order activity resulted in a non-consumer backorder of over $1 billion coming into 2012. In addition we had another 1.9 billion of contracted backlog in our satellite services business from satellite and orbit under construction thus continuing our strong visibility in future revenue. Hughes also ended the quarter with an 8% growth in its subscriber base over the year into 2010. DISH Network has announced the highly anticipated arrival of Hopper – with the latest EchoStar developed receiver platform. Hopper is a high-powered HDD DVR with pre-satellite tuners that provides full DVR functionality to every TV in the consumer’s home by communicating with the jelly a compact client receiver located in other rooms of the home. The Hopper, the Central TV recorder had a 2 terabyte hard drive allows recording for up to six HD channels at once by using revolutionary future primetime anytime. This feature gives the consumer instant on-demand access to eight days of primetime HD content from the top floor local broadcast HD broadcast networks. DISH plans to make this new system available to consumers in Q1 of this year. EchoStar had a very successful turnout at the 2012 consumer electronics show. Our Slingbox and Usenet consumer offerings garnered much attention on the show floor and each announced industry-leading solution. We USENET for demo to show the capabilities of the satellite Internet powered home that would be realized with the EchoStar 72/Jupiter launch. This includes HD quality streaming video voice-over-IP and very fast web browsing. The Sling loaded dot com system on a chip or SoC solution was named as the most interesting industry development at CES by multichannel news. In addition, EchoStar achieved an industry first at CES with all of its three of its current operator solutions honored as Innovation Award Winners, area, hybrid, IT solution for cable operators, XAP, the hybrid PDR solution identified earlier as operating for cell operators and TV and all IP video delivery solution that truly represents the future of over-the-top TV including linear programming cloud DDR video on demand and HD quality video and support for many devices from an HDTV to tablets and smartphones and a responsive and highest-quality possibility of low bandwidth utilizing the adaptive bit rate technology developed by Move Networks. EchoStar also signed a new three year receiver agreement with Dish Network. The new agreement provides a mutually beneficial foundation for the two companies to continue innovation and in the highly competitive receiver manufacturing and deployment. The aggregate pricing is substantially the same as the prior agreement. The agreement went into effect on January 1, 2012 and expires December 31, 2014. Integrated efforts continue to be used – efforts related to the used acquisition continue to make a good progress HSS accounting has been largely transitioned to SAP which is where used accounting is done. The legal and HR functions are also integrated and now under newly announced senior leadership. The use of EchoStar satellite by use is increasing an example being the testing of EchoStar 17 ground equipment on MC 15 and we will continue to look at other opportunities to leverage all of these assets. I’d now like to highlight a few recent announcements relating to Sling. Sling Media’s license software Echo System is now stored on the broad and gets multi screen, multi platform users. Turning back to customers who have a Slingbox PRO-HD (inaudible) can now stream to the box and Logitech view both TV connected device platforms and watch on a second TV where they can also stream to a player app developed with Facebook integration. SlingPlayer provides a prescription services where users can get Slingbox hardware with a refundable deposit and a monthly fee with an available android phone and SlingPlayer. And finally Chrome blog browsers support for SlingPlayer on desktop platforms Mac which expands the reach of SlingPlayer for PC and Mac and desktop platforms. All the above are exciting technical achievement and service announcements position us very well for revenue and margin expansion in the near and longer term. We are now ready for question-and-answer part of the call and I will turn the call over to the operator to conduct the Q&A.
Operator: (Operator Instructions) Your first question comes from Anthony Klarman of Deutsche Bank. Your line is now open.
Anthony Klarman – Deutsche Bank: Hi, thanks. Just a few questions on the upcoming launches. I was wondering if you could give us just the remaining completion CapEx that is required for those launches and the timing around that when that will be spent and when the – you expect to launch insurance premiums to be paid?
Dean Manson: I think as Mike mentioned we’ve got Echo 17 which is scheduled this year with approximately 110 million left on the globe and around 34 million on the insurance premium. Both of those will most likely be incurred this year. And Echo-16 we have remaining about 65 million and about 35 million insurance premium.
Anthony Klarman – Deutsche Bank: Thanks. And then just a question on sort of the Hughes product and the cross-sell potential over to DISH. I mean, they recently announced, I guess, a slight expansion to their agreement with ViaSat. Obviously, ViaSat is a little ahead in terms of the launch of their satellite. Just wondering what your thoughts were on where you were in the negotiations with DISH on potentially coming up with a similar agreement with them about how to roll out the new sort of Jupiter capacity once that’s up and launched.
Michael Dugan: Well, obviously we plan to be very aggressive in getting as much support from DISH as possible. Certainly, if I was on the DISH side without delay or as far as launching certainly want to support customers in the first and second quarters. We believe that with the fleet that we have available from use in our current plan we’re going to be very competitive. And we believe will probably work with DISH to provide them and a little bit more customized solution and what they launched with ViaSat. But we’ll just have to see how that goes. But I’m very optimistic we’ll have a great agreement there.
Anthony Klarman – Deutsche Bank: Thank you.
Operator: (Operator Instructions) Your next question comes from Amy Yong Macquarie Capital. Your line is now open.
Andrew – Macquaire Capital: Yes. This is Andrew for Amy. I wanted to ask you question about the Aria solution and comment on may be any customer interest in that?
Michael Dugan: Well, we got a lot of interest at CES. I do not believe we have any agreement that we can discuss or announce right now on that platform.
Andrew – Macquaire Capital: Okay. Thank you. And also just to further expand on your comments regarding sling, Sling, are you seeing any other large cable MSOs that are maybe following similar peoples lead was subsidizing your Sling box going forward?
Michael Dugan: Well, certainly those discussions continue. I think we are more interested and I believe that the integration within Broadcom and providing a solution that goes within future cable boxes is the main focus right now. We’re very optimistic about that and certainly the current evolution of over the top rights and being able to move content out of the home, Sling provides an excellent platform for that and that’s become much more apparent just in the last three months and certainly at CES we had great interest from almost everyone about how they can use Sling to provide out of the home solution.
Andrew – Macquaire Capital: Okay. Thanks. Sorry just a follow-up on more of a modeling question. And I apologize because I had to join late on the call. But do you know – can you maybe expand on the impairment charge I saw on the release – in the limited release?
Michael Dugan: Yes. So that relates to satellite that we have had on the books for a while the CMBStar asset. And we’ve taken a couple of write-downs and over the last year we determined that based on appropriate accounting methodology that we need to take another write-down. So effectively we’ve written that down $33 million and have approximately 19 million remaining on the books for that asset.
Andrew – Macquaire Capital: Okay. Thank you for that. And again this is just a minor question. Are you paying taxes in 4Q for this quarter I mean that just passed?
Ken Carroll: What’s your question, are we paying taxes?
Andrew – Macquaire Capital: Yeah, yeah, I mean is there – income tax you’re expecting an income tax expense for the quarter for 4Q?
Ken Carroll: Yes, yes. And we filed the 10-K there will be a tax provision yes.
Andrew – Macquaire Capital: Okay. Good. And that’s all I have at this point. Thank you.
Ken Carroll: Thank you.
Operator: (Operator Instructions) Your next question comes from Chris Little of Longfellow. Your line is still open.
Chris Little – Longfellow: Hi guys. Could you talk a little bit about any of the new thoughts on different uses for KevSat 1 which Dish has talked about and if you could kind of expand on maybe the potentially usage in Latin America for that satellite? Thanks.
Michael Dugan: Well first of all, its KevSat is the way we try to pronounce it but I got to be honest with you I still struggle how to spell it every time I write an e-mail. So I have to reference that it’s a little bit of an unusual name. We do have a contract with DISH, where they will lease 24 transponders at QuetzSat once it’s located back to 77 degree slot. However, doing proper due diligence we’re exploring our other business opportunities with more attractive ROIs that could cause QuetzSat to be located at a different orbital slot. So right now we don’t have anything else to announce on QuetzSat final location. It is healthy and fully completed testing.
Chris Little – Longfellow: Could you expand if one of those options as to potential use it for the DISH Mexico service?
Michael Dugan: That’s certainly one option that’s under consideration on discussion, yes.
Chris Little – Longfellow: And just as a follow-up since I haven’t seen in the release and it took me a long time to get on the call because you just talk as there were any net-adds at huge consumer broadband business in the quarter?
Michael Dugan: We went over that earlier. I think that is outlined in what was release but...
Chris Little – Longfellow: I didn’t see it in the release and I couldn’t get on the call. If so, could you just help me out again that would be great.
Michael Dugan: Pradman, Pradman, do you want to answer that?
Pradman Kaul: I don’t think there’s only – I think our ending subscribers is the only number we usually give out and that was 626,000 at the end of the quarter. And we had to figure out on the net debt because we give you a number...
Chris Little – Longfellow: What the actual number was?
Pradman Kaul: 626,000.
Chris Little – Longfellow: So it’s flat again?
Pradman Kaul: Yes. Relatively flat, yes.
Chris Little – Longfellow: Can you kind of comment on where the gross adds were in the quarter relative to the past couple of quarters and was it a continuation of a issue of flexing out some bad subs over the – in other words, can you just comment on what the gross add momentum in the quarter relative to the last couple of quarters?
Michael Dugan: Again, that’s a number we don’t usually give out in the public, but from a qualitative purpose it’s been right on track from the previous quarters. And we haven’t seen any slowdown in the gross acquisition of numbers that we are seeing even today.
Chris Little – Longfellow: And maybe as a follow-up then, could you just comment on when you expect churn, which has been elevated the past couple of quarters to get back to more normalized level?
Michael Dugan: We’ve seen significant improvement in that over the last few months and I’m getting it back to the kind of numbers we would used to seeing, I think for 2012.
Chris Little – Longfellow: Thank you.
Operator: Your next question comes from Josh Rosen, Act II. Your line is now open.
Josh Rosen – Act II: Hi, guys. Just had a handful of questions, is there any impact or anything you can discuss in terms of the (inaudible). That could affect Jupiter completion or the launch in any way?
Dean Manson: Hi, this is Dean. We’re certainly aware of that case and tracking it closely. We filed just recently and we’re not a party to the case. We don’t have all the information about it at this point, but we are watching it closely because it relates to the – or at least refers to the Jupiter or EchoStar 17 as we’re calling it satellite. But that – really what we have to say at this point.
Josh Rosen – Act II: Okay. And then just I guess, also on the satellite side, with the SES, I guess, you talked that there was an anomaly, on which satellite that, are you guys fully leased them. Could you just talk about what the impacts, I think you guys renegotiated that lease or when the contracts come up for renewal in the next couple years what type of capacity do expect you are going need from SES on additional satellites?
Dean Manson: Well, we fully leased from SES the AMC 15 and AMC 16 satellites both of which are experiencing the same anomaly and the anomaly while it’s somewhat understood it’s unpredictable as to how it will behave over time. Our contractual arrangements with SES are such that is the capacity available to us on those two satellites decline so does our obligation to pay them for the capacity that we actually use, as far as replacing the satellites or releasing additional capacity from SES that sort of an ongoing conversation. And we will somewhat be determined by the performance of the satellites over time.
Josh Rosen – Act II: Okay. Great. And then – as a follow-up I guess Chris’ question. Are you evaluating the Orbital’s or the use of the Orbital slots that you’ve got in Brazil? Is that kind of out on the table and I guess is building another kind of Jupiter to call it still that in America on the table as well?
Dean Manson: While, I would say, first of all, as we stated earlier we’re very hopeful that we can resolve everything within and get the license signed and fully in our hand. When that’s done we will certainly move aggressively to figure out how to get assets in place to start the service license. I can’t speak to specific dates and times. Certainly, in an ongoing business strategy we are continuing to look at additional broadband satellite capacity and South America is one of those markets we are looking at for sure.
Josh Rosen – Act II: Great. Thanks. And just one last question if I could. I know it’s early, but have you guys seen any impact on the consumer broadband side from ViaSat 1’s initial sales in the past month, month and a half?
Dean Manson: It is really early.
Josh Rosen – Act II: Yes.
Dean Manson: Mike would you let me answer that?
Michael Dugan: The answer is, we are not seeing any impact yet. As late as yesterday our subscriber gross acquisition numbers were right on track and tracking the previous quarters. So as of yet we are not seeing full impact, we’re not seeing any impact yet. But as ViaSat gets their full rollout done, I expect we might see a little slowdown until we get our satellite – new satellite in operation. But as of today we are not seeing any impact.
Dean Manson: Right. The other thing that should be clear is, right now both ViaSat and the Hughes Network continue to have unique and separate distribution channels and we just need to be clear up to this point, DISH was not a distributor service and so just the fact that they are continuing their agreement with ViaSat, there is not a lot of overlap in distribution at this moment.
Josh Rosen – Act II: Great. Thanks a lot.
Operator: Your next question comes from Adam Spielman of PPM America.
Adam Spielman – PPM America: Thanks. I was wondering going back there was a question earlier about what CapEx you still had left in satellites for 2012. Just as we think about the additional directional CapEx components for 2012, is it correct to think that you will start spending on Jupiter-2 as well?
Michael Dugan: I think that’s highly probable or possible at least. We’ve got a lot of work to do as we work on these slots and we work on who has final say so and landing rights. All of that is pretty complicated. And it’s feasible that we wouldn’t start Jupiter-2 this year, but probably – we certainly hope to.
Adam Spielman – PPM America: Okay. So you’ve got a couple hundred million plus on Echo-16 and then you’ve got potentially Jupiter-2 and you have your kind of ongoing chat in maintenance CapEx? Is that the right way to think about?
Dean Manson: Its Echo-16 and Jupiter which we renamed Echo-17. What you just said doesn’t include anything to do with–
Adam Spielman – PPM America: Okay. All right. Okay, I thought you had – all right. Thanks. And then just – again could you remind us on your satellite that’s going to go up, still is it July of this year Jupiter-1?
Dean Manson: We had to satellite under construction and our plan to launch this year. One which is Echo-17 Jupiter and that is – we plan to that in the summer of this year. And then we have Echo-16 which probably is late summer or–
Michael Dugan: Third quarter. But the reality is if you guys just pay attention to the launch manifest, you will see that there are things changing on a number of the launch providers and we would love to give – we would love to have a date and we would like to give you a specific date for launch but just not possible what’s going on in the industry, right now.
Adam Spielman – PPM America: All right. And final one for me. Just is the broadband product – can you just remind us what’s the rationale that we’re hearing a lot about what the actual product looks like out of – what is the – does the product looks similar that you envision launching?
Michael Dugan: I think we believe that Jupiter is at least is capable as (inaudible) 17 if you want to go to the new naming convention. And but that does not guarantee that we will decide to provide to the consumer exactly the same plan and performance. We certainly have our own thoughts about what’s necessary to be competitive and with the satellites total bandwidth may be allocated slightly different to consumers and businesses and so on so we are not ready to really say yeah we will be identical to what – that’s offering right now.
Adam Spielman – PPM America: All right. Thank you.
Operator: Your next question comes from Michael McCaffrey of Shenkman Capital. Your line is now open.
Michael McCaffrey – Shenkman Capital: Hi. Can you guys provide the approximate revenue between the two operating segments – of the HSS and the technologies LLC?
Michael Dugan: We don’t break that out at this point in time.
Michael McCaffrey – Shenkman Capital: Good.
Ken Carroll: Yeah. I was going to say. Mike you will see that then will put up the 10-K in the segment analysis and you will see that in a – as soon as we put that out. So at this point on this call, we can’t comment on the segment numbers.
Michael McCaffrey – Shenkman Capital: Okay. Thanks.
Ken Carroll: You’ll see the numbers.
Operator: There are no further questions in our queue at this time. I will turn the call back over to the speakers.
Michael Dugan: Okay. Well, we appreciate everybody joining us today and we look forward to the next quarters call. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.